Operator: Good day. And thank you for standing by. Welcome to John B. Sanfilippo and Son Fourth and Fiscal 2021 Year End Operating Results Conference Call.  Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Mike Valentine, Chief Financial Officer. Please go ahead.
Michael Valentine: Thank you, Shannin. Good morning, everyone, and welcome to our 2021 Fourth Quarter and Fiscal Year Earnings Call. Thank you for joining us today. On the call with me today are Jeffrey Sanfilippo, our Chief Executive Officer and Jasper Sanfilippo, our Chief Operating Officer. Before we start, I want to remind you that we may make some forward-looking statements today. These statements are based on our current expectations, and involve certain risks and uncertainties that are inherent in our business. The factors that could negatively impact results are explained in the various SEC filings that we have made, including Forms 10-K and 10-Q. We encourage you to refer to these filings to learn more about these risks and uncertainties that are inherent in our business. I'll start the call by covering financial highlights for the 2021 fourth quarter and fiscal year. The current fourth quarter net sales increased 1.2% to $206.7 million, compared to net sales of $204.2 million for the fourth quarter of fiscal 2020. The increase in net sales was due to a 9.6% increase in sales volume, which we define as pounds sold to customers.  The increase in net sales from the sales was offset in large part by a 7.6% decrease in the weighted average selling price per pound for. The decline in the weighted average selling price per pound was resulted from a decline in commodity acquisition costs for all major tree nuts that we buy.  Sales volume increased in the consumer distribution channel by 2.5%. The volume increase in the consumer channel was primarily driven by increased sales of private brands snack and trail mix products from new distribution earned with existing customers. Sales volume increases for our Orchard Valley Harvest products and Fisher snack nuts also contributed to sales volume increase in the consumer distribution channel. Sales volume in the consumer channel accounted for 73.2% of our total sales volume in the current fourth quarter. Sales volume increased 49.5% in the commercial ingredients distribution channel. And that was primarily due to 117.1% increase in sales volume to food service customers. The increase in food service volume was attributable primarily to the lifting of indoor dining restrictions in restaurants throughout the US. Now looking at sales volume for brands and our consumer channel; Fisher recipe nuts volume decreased 38.9% and that was in large part due to lost shelf space and favorite private brand products and one customer and competitive pricing pressure at another customer. The 23.1% increase in sales volume for Orchard Valley Harvest brand primarily came from increased foot traffic in stores at a major customer in the apparel and Home Goods sector and also increased promotional activity at another customer. Fisher snack nuts volume increased 6.9% and that was mainly due to increased sales of inshell peanuts to a major customer in preparation for our discontinuance for their product line. Sales volume for Southern Style Nuts decreased 3.6%. And that was as a result of the discontinuance of an item at a major customer. Fiscal 2021 net sales decreased 2.5% to $858.5 million, compared to fiscal 2020 net sales of $880.1 million, while sales volume increased 1.6%. The decline in net sales was attributable to a 4% decline in the weighted average selling price per pound of our products. As was the case in the quarterly comparison, the decline in the weighted average selling price for the fiscal year resulted from a decline in commodity acquisition costs for all of the major tree nuts that we buy. Sales volumes increased 6.4% in the consumer channel. The volume increase was driven by increased sales of private brands, trail mixes, snack mixes and snack nuts from new distribution earned at existing customers. Also a shift in preference to lower priced private brand products and growth in snacking as many consumers continue to purchase food for consumption at home. Increase sales of Fisher snack nuts also contributed to the sales volume increase in the consumer channel. Sales volume declined 13.9% in the commercial ingredients channel, and that was due to a 13.6% decline in sales volume in our food service business, and a decline in sales of peanut crushing stock to peanut oil processors. The decline in food service sales volume was attributable to nationwide restrictions on indoor dining at restaurants and a decline in air travel due to COVID-19 primarily in our first three quarters. Sales volume decreased 8.2% in the contract packaging channel primarily as a result of the impact of lower foot traffic in convenience stores on a major customer’s business and again that was due to COVID-19. Gross profit increased to $46.8 million in the fourth quarter of fiscal '21 compared to $40.7 million in last year's fourth quarter, and gross profit margin was 22.6% of net sales compared to 20% in the prior year's fourth quarter. The increases in gross profit and gross profit margin were due primarily to lower commodity acquisition costs for our major tree nuts and also increase sales volume.  Gross profit for fiscal '21 increase to $185 million from $.175.8 million in fiscal 2020. Gross profit margin increase to 21.5% of net sales from 20% for fiscal '20. The increases in gross profit margin and gross profit were again due to lower commodity acquisition costs for all the major tree nuts that we buy, and also increased sales volume. Total operating expenses in the quarterly comparison increased $4.3 million and total operating expenses as a percentage of net sales increased to 14.2% from 12.3% in the quarterly comparison. The increase in total operating expenses and the quarterly comparison was mainly attributable to increases in freight, incentive compensation and consumer insight research and related consulting expenses. And these expense increases were offset in part by a decrease in advertising expense. Total operating expenses for fiscal '21 increased $2.6 million and total operating expenses as a percentage of net sales increased to 11.6% from 11% fiscal '20. The increase in total operating expenses came from increased freight expense, and increased spending on consumer insight research and related consulting expenses. Partially offsetting these was a reduction in advertising expense, and a gain of $2.3 million from their final insurance recovery. That was related to a fire in our Garysburg, North Carolina facility. And that occurred in the second quarter of fiscal '20.  Interest expense decreased to $300,000 for the fourth quarter of fiscal '21 from $500,000 in last year's fourth quarter, and interest expense for the current fiscal year decreased to $1.4 million from $2 million in fiscal '20. The decreases in both comparisons came from lower average debt levels.  Net income was a record $12.3 million, or $1.07 per share diluted for the fourth quarter of fiscal '21. And net income for fiscal '21 was a record $59.7 million, or $5.17 per share diluted.  Taking a quick look at inventory; the total value of inventories on hand at the end of the current fiscal year decreased $24.1 million, or 14% compared to the total value of inventories at the end of fiscal '20. The decrease in the value of total inventories was primarily due to lower commodity acquisition costs for all major tree nuts and lower quantities of peanuts, pecans and finished goods. The weighted average cost per pound of our raw nut and dried fruit input stocks on hand at the end of the current fourth quarter fell by 11.9% and this decline again was due to lower commodity acquisition costs.  Now before I turn the call over to Jeffrey, I'd like to remind investors that this is my last earnings call as CFO and Frank Pellegrino, our Executive Vice President of Finance and Administration will take on that role as CFO. I leave this critical responsibility in very good hands. I'll still be involved in our IR efforts with Frank and I will remain available for investor calls at any time. Now I'll turn the call over to Jeffrey Sanfilippo, our CEO to provide additional comments on our performance for the current fourth quarter and fiscal year, Jeffrey?
Jeffrey Sanfilippo: Thank you, Mike. Good morning, everyone. As was the case in the previous two quarters, we again reported record net income and diluted earnings per share for the current fourth quarter. The record results were driven primarily by rebounds in our food service business and contract packaging distribution channel. We also experienced sales volume growth in the consumer distribution channel in this quarterly comparison, which built on the significant sales growth we enjoyed in last year's fourth quarter. This growth came from distribution gains at some of our private brand customers, as we demonstrated our ability to maintain superior service and quality levels, while facing challenges related to the pandemic in fiscal 2020 and 2021, and numerous constraints in the global supply chain in the latter half of fiscal '21. This is the third consecutive year JBSS has delivered record net income and record EPS. In addition, we shipped over 294 million pounds to customers, which is another record for the company. The significant operating results we have achieved these past few years demonstrate the underlying strength and resilience of our organization despite competitive pressures and the impact of COVID-19. It is also a testament to the fortitude of our business model, the commitment of our people and the mutual trust and depth of our customer and supplier partnerships. Due to our strong financial results over the last three quarters, we raised our annual regular dividend 7.7% to $0.70 per share, and supplemented that with a special dividend of $2.30 per share, both of which will be paid to our stockholders on August 25, 2021. These most recent dividend payments marked the 10th consecutive year that we have paid dividends, and we are pleased to return cash to our stockholders, and we are paying bonuses to each and every one of our exceptional JBSS employees who work together this past year. I am so proud of the hard work, dedication and leadership of our 1,300 team members throughout the company. They amaze me with their commitment to service our customers. And they continue to work hard to support their families and support each other. A special thanks to our manufacturing teams who are so focused on operational efficiencies in production to reduce spending per pound produced while still providing best-in-class quality and service levels. In addition to achieving record results, and maintaining best in quality class service levels, we also invested in people and added many new members from large food and beverage companies to our sales, brand marketing, innovation and consumer insights teams, as we start our journey to reinvent and reinvigorate our brands. We also increased our investment in consumer insights as Mike mentioned in the current fourth quarter. With these teams largely in place, we plan on making additional investments in consumer insights, consumer research and product innovation and development in fiscal '22. The increase investment in consumer insights will help fuel our growth and embed insights across the organization. We're investing in people and capabilities to unlock insights that address changing consumer needs and behaviors that will drive growth by enabling our marketing efforts to win the hearts and minds of new and existing customers. Notably, we're increasing our foresight capabilities that will help future proof JBSS by using AI and social media listening tools to help us capitalize on trends and changes in consumer behavior more quickly. We have witnessed extraordinary shifts in consumption these past 17 months, and the investments we are making will establish a stronger foundation to identify opportunities faster to develop innovative products, build stronger brands and expand consumption with new consumers. Now there are headwinds that all companies face now in the coming year as we look at current trends in the world and in this country. Our management team is working hard to execute action plans to mitigate risks to our business. I will share some of the expected challenges and what we are doing. First and foremost as people we are operating in a very tight labor market, human capital, health and wellness and overcoming labor shortages are a top priority. To address labor shortages, the company has increased wages for manufacturing employees. We also increase shift differentials and starting wages for hard to fill positions. And we began seeing improvement in our fill rates. We offer referral and signup bonuses to our new hires and employees. In addition, we are enhancing our total team performance bonus program by introducing a payout modifier that will allow our employees to double their bonus payouts. Another major project to mitigate labor challenges is our investment in robotics for packaging lines and material handling positions. And lastly, we expanded our use of temporary labor agencies to source and recruit people to fill positions in our operations. We also recognize that in order for our company to be successful, our employees must be healthy, well trained and motivated to do their best every day. We are thus relentlessly focused on attracting, retaining and managing talent across organization. Due to recent surges and COVID-19 in some areas of the country, we are adjusting our safety policies and practices in accordance with guidance from the US Centers for Disease Control, federal, state and local governments and other health authorities. We also recognize that our business is stronger and more successful if supported by a diverse workforce. Our goal is to be more intentional in hiring, maintaining and promoting diversity among our employees, and fostering an inclusive environment where differences are celebrated. In fiscal 2021, we launched our Diversity, Equity and Inclusion Council, consisting of a team of employees from different functional areas to provide oversight and enhance our diversity and inclusion initiatives. We believe that training, developing and promoting our employees is another important part of our vibrant employee culture. These measures enhance our performance. They're an important component of employee satisfaction. We offer training to our employees on a variety of subjects related to professional development, workplace fundamentals, business, computer applications, and industry specific subjects. I believe we are doing the right things to retain our team members and mitigate the impact of a tight labor market. The second headwind we face is challenges with supply chain. Most manufacturers are dealing with raw material and freight cost increases and with deliveries for those materials. Beginning with the summer of 2020, we already started experiencing variability in transportation costs due to additional demand in shipping, a general shortage of drivers, increased fuel costs and federal regulations. In addition to transportation costs, we experienced increased commodity and raw material costs, increased packaging material prices, higher general water, energy and fuel costs, and increased labor costs. We have worked closely with our domestic and global suppliers to source and maintain a consistent supply of raw materials, ingredients and packaging. Today, none of our manufacturing facilities have been significantly impacted by this pandemic. However, recent surges in COVID-19 cases, especially in Southern Vietnam, from where most of our cashews are sourced, and extensive lockdowns are in place could have a negative impact on our operations if shipments of raw materials are delayed, but we have contingency plans in place to help reduce the negative impact if one or more of our manufacturing facilities encounters a partial or full shutdown. We closely monitor the supply chain costs and challenges. And we are very transparent with our key partners about their potential impact. Our sales and marketing leaders are having difficult but necessary conversations now about price increases, lead times and service level expectations. Our operations team is laser focused on driving costs out of manufacturing in other areas of the supply chain we can control where we can reduce our cost to mitigate price inflation and service level challenges. Now shift to consumption activity and category updates. I will share some of the category and brand results with you for the quarter. As always, all the market information I'll be referring to is IRi reported data and for today it is for the period ending June 20, 2021. When I refer to Q4 I'm referring to 13 weeks of the quarter ending June 20, 2021. References to changes in volume or price or versus the corresponding period one year ago and when we discuss pricing, we are referring to average price per pound. The term velocity refers to the sales per point of distribution. We look at the category and IRi is total US definition, which includes Food, Drug, Mass, Walmart, Military and other outlets unless otherwise specified. Breakouts of the recipe, snack, and trail mix and produce net categories are based on our custom definitions developed in conjunction with IRi. As we've mentioned for the past year COVID-19 had positive and negative impacts upon our results for fiscal '21. In this last quarter, we saw the total nut category grow 1% in both dollars and pounds with pricing flat. However, different dynamics happen in each of the recipe, snack, and trail mix and produce subcategories, which I'll cover now starting with recipe nuts.  The recipe category declined 20% in dollars and 14% in pounds in Q4. The decline is due to the lapping of key lockdown months of April to June of 2020 where consumers were cooking and baking more at home compared to eating out. The Fisher brand continued to be challenged in the recipe category, with declines of 38% in dollars and 33% in pounds in Q4. Fisher not only suffered from the same lapping trend as a category, but was also challenged by distribution declines at two key retailers. While we did see some nice momentum in velocity these gains were not sufficient to offset the distribution losses. As a result, Fisher pound share decreased by 3.4 points, ending the quarter with a pound share of 11.9%. Fisher continues to be the number one share leader in the recipe nut category.  I'll now move on to the snack and trail mix categories. In Q4, the snack nut category was down 1% in both dollars and pound volume. Fisher snack brand saw declines of 2% in dollars and pound volume during the same period driven by distribution declines. We did see some nice gains in volume for our Fisher's snack, oven roasted never fried product portfolio in PT packaging structure, but it did not offset the losses in other parts of the brand. The trail mix category grew in the fourth quarter with a 10% increase in dollar volume and an 8% increase in pound volume. A large portion of consumer consumption of trail mix is away from home. So as we lap the key lockdown periods last year, this category grew in the fourth quarter as more people are spending time away from home. Our Southern Style Nuts in trail mix brand increased 3% in dollars and 7% in pounds. While we increase promotional activity at a key retailer discontinuation of an item at another retailer mitigated the overall performance compared to the category. Finally I'll share the performance for produce nuts. In Q4, produce nuts category increased 9% in dollars and 4% in pound volume sales. Our Orchard Valley Harvest produced brand saw 6% increase in pound volume with dollar volume being flat. The brand's performance was driven by increased trade and promotional activity across our multi packs products. In closing, fiscal '21 was a strong year, especially considering the dynamic changes we've all experienced. This success is possible because we have talented people across our organization, and we invest in them to do what matters most to drive results. We are executing our growth strategies, implementing continuous improvement projects throughout the organization to optimize our cost structure. And we continue to invest in our people, our brands and our processes to better serve our customers and consumers and create value for our shareholders. I would like to take this time now to thank Michael Valentine for his many years as our CFO and for guiding our company through both challenging years and enormously successful years. His leadership and commitment to the company have been extraordinary. For the past few years, Mike has mentored Frank Pellegrino, who will take on the role as our new CFO starting at the close of business tomorrow. I look forward to working with Frank on these earnings calls and with investors. And as Mike mentioned, he will continue with the company and focus on his other important responsibilities with procurement, regulatory compliance, IR and meeting our contract manufacturing division. We appreciate your participation in the call and thank you for your interest in our company. I will now turn the call back over to Mike one last time.
Michael Valentine: Okay, thank you, Jeff. Pretty exciting there. At this time, we will open the call to questions. Shannon, can you please queue up the first question?
Operator:  Our first question comes from Chris McGinnis with Sidoti and Company.
ChrisMcGinnis: Good morning. Thanks for taking my questions. Nice quarter. And Mike thanks for all the help. And I look forward to working with you in internal capacity as well. I guess maybe just starting acquisition costs have been pretty advantageous for you. Can you just talk about your outlook for '22 and purchase pricing of tree nuts for the year your thought process around it?
MichaelValentine: Sure. So as we pointed out in the last few quarters, we've seen some significantly low commodity acquisition costs, I'd say probably in about all cases, they dip below historical averages, looking forward at new crop, and we don't have complete visibility on that yet. But in most cases, we think many of those crops are going to return to something close to historical averages, with the exception of cashews, which may run a little bit higher than that. And then almonds just because of the droughts that we're seeing in the Central Valley of California maybe above historical averages.
ChrisMcGinnis: And I guess just thinking about very successful on the consumer side. Can you just talk about the opportunities for growth, when you look out to '22, both on the private label and the branded sides, where your opportunities are?
JeffreySanfilippo: Sure, Chris, this is Jeff, thanks for the question. Yes, so really the fiscal '22 opportunities looking at private brands, first focusing on our key partners, there are still opportunities to build and work with them on expanding their private brand programs. We touched on the trail mix segment, which continues to grow, especially as states start to open up and people are on the go again. But also just product innovation in general, there's still a shift to plant proteins. And so we're seeing retailers look at other opportunities to expand their nut program as they look at opportunities and changes in consumer behavior. The other thing that we are focused on is bringing new consumers to the categories both for private brands and for our brands. If we get to Gen Z and the millennial population, their -- nuts are not always first top of mind when they go out for, to purchase a snack. And so part of our reason for investing in consumer insights is to truly understand those purchasing dynamics and that behavior to help understand how we can pursue those consumers and bring them to both the snack and recipe category.  And the branded side, the team as I talked about, we brought in a lot of new key talent from outside our organization with a great experience at other major CPG companies. And the focus is on really building stronger brands, building better brand positioning statements, better engagement with consumers, stronger product portfolio, because we still see a lot of opportunities in growth, in snack nuts and in recipe and ingredients as well. The last thing I will add is we are expanding our product portfolio. I talked about launching outside of the nut category, we have a chickpea chip under our Orchard Valley Harvest brand, which was launched, and we did some test marketing last year. And you'll see that rollout into first half or second quarter of fiscal '22. You'll start to see that product; you can find it already on Amazon as a test. But you'll see that product rollout nationally in the beginning of second quarter fiscal '22.
Chris McGinnis: Right. I appreciate that. And I guess just thinking about the investment you're making both in personnel, but also the consumer research. What are the early signs that they kind of indications of the opportunity there? Can you maybe just expand on what you've seen? I know it's still early stage. But --
Jeffrey Sanfilippo: Yes, so I touched on a little bit about the millennials and the Gen Z's and their consumption behavior is one of the first insights that we've seen. Also, the investment in consumer insights allows us to find other gaps. And we've talked a lot about expanding consumption, looking at alternative channels, and we truly understanding where consumers are buying food products. These new technology allows us to tap into places where we didn't realize people were consuming nuts before. The last thing it does is it helps us to really understand trends faster than we've ever been able to. So as we start to develop new product innovation, both for our brands and for private brand customers we will have much better intelligence to develop the right products that consumers are looking for. So very exciting, it's initial stages, but we're building that foundation to have a really strong consumer insights team and have better visibility of future trends and what's happening today.
Chris McGinnis: Great. And just two more, I'll jump back in queue. Maybe just around commercial ingredients, obviously a nice rebound. Can you maybe just discuss where your volumes are versus prior to the pandemic level, and how much more room there for growth there?
Jeffrey Sanfilippo: Yes, so the team  out throughout the pandemic as restaurant started to close, our food service team was working so hard to maintain relationships with our food service account, making sure that we gain new distribution so that when the states did open up, we had our products ready and available for food service customers. And so I really believe that we're starting to see that rebound food service has come back with a roar, our backlog is strong and foodservice customers are ordering the replenishing, consumers are going out to eat. And so I think we're in a much better place at the end of the pandemic with our distribution and our relationships. And where we're focused on to really build a stronger, real, more robust food service channel that we had prior to the pandemic.
Chris McGinnis: Great. And then just one on the CapEx. I think it's $80 million expected for '22, anything specific there in terms of growth versus maintenance to call out.
Jasper Sanfilippo: Yes, Chris, this is Jasper, I would say a good portion of it really is towards automation, and there is quite a bit of maintenance as we have every year. I would not say it's anything more than unusual. There are some upgrades to make lines go quicker. So I guess you could argue that would be going towards growth. But quite a bit of it really is finishing a big CapEx project from last year and continuing to invest in automation.
Operator: Our next question comes from Timothy Call with Capital Management.
Tim Call: Thank you, congratulations on another strong quarter end year, good to see. Mike, hand offs this roll from such strength that shows a lot and I was wondering with interest expense falling by 40%. Do you think in the fourth quarter of, in two or three years that you might actually have net interest income? Not net interest expense?
Jasper Sanfilippo: I don't think so. I mean, this year is a little bit unique in respect to low commodity costs. As we return to normal I think you can expect to see normal borrowing levels to accompany that.
Tim Call: And when you sell the Garysburg facility, should that sale be completed in this fiscal year?
Michael Valentine: Yes, we expect that to be completed in this current first quarter.
Tim Call: With new product launches, do you expect new brand names? Do you expect to use current manufacturing facilities and idle capacity? And you mentioned the launch of the chips; will there be other launches this fiscal year? Or do you expect a new product once a year?
Jeffrey Sanfilippo: Hey, Tim, good question. So we've invested a lot in innovation and research and development. We've got really good brands, the challenge is we don't have very good distribution and ACV. And so we feel like we've got good brands today that we can focus on the health and wellness with Orchard Valley Harvest, we have our Squirrel Indulgent brand. And then we have Fisher recipe and snack is our core nut brand. So that we've got the brands I think today, I don't know if we would add sub brands at this point, although it's an opportunity. And as we drive further into these consumer insights research that will guide us on whether we should have a whole different brand or not. But so we've got good brands, it's really getting new products out there. And in really engaging consumers, we've had a tough time engaging consumers and getting new distribution. So we've got to put together a better story a more value, benefit type of brand, performance and an opportunity for consumers to pursue. So we've got a lot of good innovation in the pipeline, the chickpea chip, we wanted to get something outside of the nut category, we feel like we can -- we know the salty snack section really well with our nuts, so why not pursue something in salty snacks, and it ties in well with health and wellness and time will tell but we feel like we've got a really great product and we've got a great position. And so we'll see how that goes. I'm very optimistic about that. And then for Squirrel, we're looking at launching a bunch of new things in the back half of fiscal '22. You'll see some things in the market. Ruby Royale is a brand that we launched, that would be considered a sub brand, I guess, that we launched at Valentine's last year. And we're doing another promotion in the fall this year. So possibly for additional brands, but at this point, we're really focused on our current brands. As far as capabilities you asked about manufacturing.
Michael Valentine: Yes, Tim, in terms of manufacturing, the one to two year old innovation projects that we have will be currently manufactured in house. But as we look to what innovation looks like three to five years, I would highly expect the company will be using co packers to pack some of our products for us.
Jeffrey Sanfilippo: So what they didn't touch on Tim was -- so our recipe program, we've launched a product line of flowers, nut flowers, almond flour, pecan flour, and almond coconut flour, extremely successful launch, we've got a lot of great distribution, consumers are looking for, again, that plant protein, something that they can use for cooking outside of other items. And so we're really optimistic about the success of that program and expanding it. So a lot of opportunities in the ingredient category as well for Fisher
Operator: Our next question is a follow up from Chris McGinnis with Sidoti and Company.
Chris McGinnis: Thanks. I just wanted to maybe just ask about the competitive landscape and how it's shaping up. It seemed like maybe in Fisher recipe where it was a little bit more then maybe, historically, I guess, can you just maybe -- just talk about what's happening in the marketplace. Thanks.
Jeffrey Sanfilippo: Sure. So on the snack side, obviously Hormel with its acquisition of Planters makes them extremely strong competitor, that transition is still taking place now. We expect to see more investments in the Planters brand in the snack category. So time will tell but we're, I said trying to build our position for Fisher snack and Squirrel and OBH and find that right positioning to compete with Planters. On the recipe side, Diamond is our largest competitor there as well as private brands. Most of our distribution losses came; a lot of it came from private brands building their own private brand recipe programs. But we still feel there are opportunities in the ingredient category. During the pandemic, you brought a lot -- the pandemic brought a lot of new consumers to the recipe categories as I mentioned, people were staying home, they cooked at home, or they entertained at home. And so we saw a huge increase in our recipe consumption across the country. And so we feel there are a lot of opportunities there.
Chris McGinnis: Okay, great, and then just with the strength of the balance sheet can you maybe just discuss any outlook for possible M&A versus I guess in house innovation?
Jeffrey Sanfilippo: Yes, so M&A, I always talk about M&A, we always look at it, we've looked at a couple of companies even this last quarter, nothing that really made sense for us to pursue. But as we build our path to $2 billion, which is a long range plan that we're working on now, M&A is going to definitely be part of that. So you've got opportunities for small brands, or small company capabilities, or obviously a transformational opportunity that comes up. But it's always part of our strategic plan for growth in M&A just something that we saw today that we really wanted to have.
Operator: And I'm currently showing no further questions at this time. I'd like to turn the call back over to Mike Valentine for closing remarks.
Michael Valentine: Thank you, Shannon. Again, thank you everyone for your interest in JBSS. And this concludes the call for our fourth quarter and fiscal year 2021 operating results. Have a good day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. 